Operator: Good morning, and welcome to the PG&E Corporation First Quarter Earnings 2013 Conference Call. [Operator Instructions] I would like to introduce your host, Mr. Gabe Togneri, with PG&E. Thank you and enjoy your call. You may proceed, Mr. Togneri.
Gabriel B. Togneri: Thanks, Monique, and good morning, everyone. We certainly appreciate you joining us on our call. Before you hear from Tony Earley, Chris Johns and Kent Harvey, let me remind you that our discussion will include forward-looking statements about future financial results. And those are based on assumptions and expectations reflecting information that's currently available to management. Some of the important factors that could affect the company's results are described in Exhibit 1 located in the Appendix of today's slides, and we certainly encourage you to review that. We also encourage you to review the Form 10-Q that will be filed with the SEC later today and the discussion of risk factors that appears in the 2012 annual report. And with that, I'll hand it over to Tony.
Anthony F. Earley: Well, good morning, and thanks for joining us today. We're going to keep our prepared remarks fairly brief this morning. We had a solid quarter, consistent with our plans. Our focus continues to be on the areas I've outlined at the beginning of last year: resolving gas issues, positioning the company for long-term success and partnering effectively with stakeholders. In the various investigations, hearings are complete, and we expect the parties to file briefs on fines and remedies in the next few days. While we remain open to settlement, the most likely path will be completion of the litigation. Even though this is a slower process involving briefings and decisions, we believe the PUC proceedings will be completed this year. Meanwhile, we're doing extensive work throughout the utility to continue driving toward safe, reliable and affordable electric and gas service for our customers. And I'm pleased with the operational progress we're making. And as Kent will report, our financial performance for the quarter is in line with our plans. But I'll first turn things over to Chris, who will cover regulatory and operational items in a little more detail. Chris?
Thomas E. Bottorff: Great. Thanks, Tony. So I'll start with the regulatory items and then touch on some of our operating results. In the gas proceedings, we filed our reply briefs in the record keeping in San Bruno investigations last week. In the briefs, we addressed the violations alleged by the other parties to the cases. We challenged the legal basis of those allegations, which we consider to be flawed. On Monday, the interveners and CPUC staff are scheduled to file their recommendations for fines or other penalties related to the San Bruno accident. We'll have the opportunity to file our formal reply brief later in May. And then following rebuttal briefs from the other parties in early June, the record will be complete in all of the investigations. Then the case will be in the hands of the administrative law judges. Let me highlight a few other regulatory items. During the first quarter, the CPUC approved the automatic adjustment mechanism for the cost of capital. This mechanism is in place through 2015 and provides good visibility to our authorized return on equity during that period as well as some protection for our customers and shareholders. More recently, the CPUC denied requests for a rehearing on their approval of Oakley. And as a reminder, Oakley is a 586 megawatt next generation gas-fired plant that will be an important resource as we ramp up renewables to 33% of total usage over the next couple of years. And finally, on the regulatory front, tomorrow, we expect the Division of Ratepayer Advocates to file their testimony responding to our General Rate Case request. Now we have taken approach to the General Rate Case application focused on enhancing the safety of our system utilizing a risk-based process. While we hope that the DRA will also take a different approach to their testimony, they've routinely taken extreme positions in the past. That brings me over to our operations. Over the past few years, this company has spent more than $1.4 billion in shareholder funds to improve our gas pipeline system as we focus on safety and excellence in operations. We continue to make significant and measurable progress in the first quarter of this year. You can see on Slide 3 of the planned work, we've completed on pipeline testing, replacement and valve installation since the beginning of the year. We don't do as much work on the pipelines during the first quarter because of higher gas demand during the winter months. So you can expect to see the volume of this work increase as the year progresses. Also during the first quarter, we closed out 3 recommendations made by the National Transportation Safety Board following the San Bruno accident. At this point, we resolved 7 of the original 12 recommendations. The remaining 5 are longer-term projects that are on target, and the D&T has -- characterizes this as open, but acceptable. On the rights of way, we've completed more than 1,500 miles of the center line survey, which is on target with our goal for the year thus far. We started the survey in the more rural parts of the system, which means we haven't yet had to deal with remediating many material encroachments. We're still early in the surveying process. And as we move into the Bay Area and other more populated areas this spring, we'll expect to gain additional insights. Shifting to the electric part of the business. Last quarter, we talked about our record level of electric reliability in 2012. And now during the first quarter, we had our best reliability performance ever as a company. That's not just the best first quarter ever, but the best quarter ever. Although favorable weather was a component, the investments we've been making in upgrading the infrastructure and increasing the use of technology on the system have resulted in improved performance. We know that reliability is a critical component to customer satisfaction, so it's one of the key metrics we're focused on. And last, at Diablo Canyon, we completed a scheduled refueling outage on Unit 2 in March. This was among the most successful outages in Diablo Canyon's history given the extent of work involved. The team finished the outage in less time than planned and demonstrated exceptional attention to safety. Based on our benchmarking, we understand what good operations look like, and we will keep reaching for top-level performance throughout our business. You can see how we're doing across a range of top-level metrics for 2013 in Exhibit C of the Appendix. And with that, I'll turn things over to Kent.
Kent M. Harvey: Thanks, Chris, and good morning, everybody. I'm going to start by going through Q1 results, which are summarized on Slide 4. Earnings from operations for the quarter were $0.63, and our GAAP results were $0.55. Of course, the difference is the item impacting comfortability for natural gas matters, and that's laid out in pretax dollars in the table at the bottom. You'll see the pipeline-related costs totaled $62 million pretax for the quarter. This includes our pipeline safety enhancement planned work, our right-of-way and integrity management work and then our legal costs. We expect the overall run rate to increase the rest of the year since a couple of these components are expected to ramp up. You'll remember that PSEP work is somewhat seasonal and is typically lower in Q1. And in the case of the right-of-way work, we're still ramping up that program. So those costs are also expected to increase in future quarters. You'll also see in the table that there were no additional accruals for penalties, third-party liability claims or insurance recoveries during Q1. Slide 5 shows the quarter-over-quarter comparison for earnings from operations, including the main drivers that take us from $0.89 in Q1 last year to $0.63 in Q1 of this year. The new cost of capital that went into effect this year was the biggest driver of the year-over-year decline, totaling $0.10 negative. In addition to the reduction in ROE, there was a small impact associated with the true-up of our debt financing cost. The refueling outage for Diablo Canyon Unit 2 accounted for $0.06 negative since last year's scheduled refueling outage for Unit 1 was in the second quarter. Increased shares outstanding resulted in a $0.04 impact, and the timing of our planned incremental expenses across the utility drove a $0.03 decline. Last year, our incremental spending was lower in Q1 since we were ramping up our programs. And this year, we expect a more even spread across the quarters. A number of other items totaled $0.08 negative [Technical Difficulty]
Operator: Ladies and gentlemen, we ask that you can see answer -- remain on the call. The conference will begin momentarily. Again, please continue to remain on the call. The call will remain momentarily. [Technical Difficulty]
Kent M. Harvey: I'm sorry, this is Kent. I understand that you lost me for a moment. So I'm going to just go back to guidance, and we'll take it from there. And if there are any questions about the quarterly results, we can handle those in Q&A. So our guidance for the year is unchanged and is summarized on Slide 6. The range for earnings from operations remains at $2.55 to $2.75 per share and some of the key assumptions that underlie our guidance are provided in the Appendix of the slide deck. These assumptions have not changed since we provided them on our last call. At the bottom of the slide, you can see our guidance for the key components of the natural gas matters item in pretax dollars, and these are also unchanged. Finally, we continue to expect to need roughly $1 billion to $1.2 billion of equity for the year, excluding any fines or penalties beyond the $200 million we've already accrued. Of that, we issued about $430 million in Q1. This was comprised of a $300 million block issuance, about a $70 million under our 401(k) and dividend reinvestment programs and about $60 million to our continuous equity offering, or dribble program. During Q1, we completed our existing dribble program, and we're ready to file for another $400 million program later on today. That's it for my remarks. We'll now go ahead and open up the lines for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Dan Eggers with Credit Suisse.
Dan Eggers - Crédit Suisse AG, Research Division: Tony, in your early comments, you made reference that you're probably going to go the full distance on getting San Bruno done. Can you maybe just give a little context on, have your settlement talks effectively broken down? And is there a concern that once the briefs are out there, people's positions are going to be too far apart to be able to settle?
Anthony F. Earley: Well, as we've said, there have not been active settlement costs for some time, but we continue to indicate we are open to those talks. Obviously, as people have to file briefs, positions become a little more hardened. And that's why I think the most likely outcome, Dan, is that we just continue through the litigation process. And we're getting now towards the end, briefs are getting filed. So we can see the light at the end of the tunnel. We can work our way through the process and certainly get it done this year.
Dan Eggers - Crédit Suisse AG, Research Division: Okay. And then just on the $1 billion to $1.2 billion of equity, just to make sure I understand that. That number does not assume that there is any sort of fine or penalty so whatever gets settled in this case will have to get addressed toward year end or whenever the case gets resolved. Is that fair?
Kent M. Harvey: Dan, this is Kent. So the $1 billion to $1.2 billion includes the $200 million that we've already accrued. So if a fine were larger than that, then that would be incremental to the $1 billion to $1.2 billion.
Dan Eggers - Crédit Suisse AG, Research Division: Okay. And then, Kent, what I had lost off on the call is when you started talking about the $0.08 of drag from Other. So, I mean, I don't know if everybody else missed that or not. But could you just explain what was in the $0.08 year-over-year drag, and how we should frame that up from a recurring basis?
Kent M. Harvey: Yes, Dan, and sorry about the technical difficulties, and I wasn't sure when you lost me. But the $0.08 was really kind of a number of Other items, and it included things like lower gas transmission revenues. And we really had last year during the first quarter, a little bit higher gas utilization for generation. And then it had other items, including our higher below-the-line costs as well.
Dan Eggers - Crédit Suisse AG, Research Division: So that -- is that the gas storage business and kind of where you make some extra profits, is that what you're referring to from the transmission piece? Or this is just a flow-through number?
Kent M. Harvey: In this case on the gas business, it was more the backbone revenues. And it just was associated with the throughput for gas generation.
Dan Eggers - Crédit Suisse AG, Research Division: And then the storage business was -- how was that year-on-year?
Kent M. Harvey: I don't believe that was a major driver quarter-over-quarter.
Operator: Our next question comes from the line of Jonathan Arnold with Deutsche Bank.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Just a quick one on the -- I maybe should know this, but I wanted to clarify. The Centerline survey where you talk about having done the 1,500 miles, is that really the -- linked to the encroachment analysis? Are these the same thing effectively? Or are they separate?
Christopher P. Johns: Jonathan, this is Chris. They're the same thing. The Centerline survey is going through the process of major -- or putting on GPS exactly where the center of the pipe is. And that takes into consideration then our ability to know the encroachment on top of our right-of-ways.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Okay. So the 1,500 is out of a total of --
Christopher P. Johns: About 6,700.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Okay, and then I think I heard you say that you've started off in the more -- the less densely-populated areas.
Christopher P. Johns: That's correct. And we're just now starting to get movement towards the more highly-populated areas.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: So do you -- that not withstanding, do you have -- do you feel any better about the quality of the estimate now than you did last time?
Christopher P. Johns: Obviously, we haven't changed it. And that's our best estimate at this point in time.
Kent M. Harvey: And Jonathan, I'll just add, we really have not yet gotten in to the Bay area and stuff. We've been out in more remote rural areas. So it's going to be a while, I think, before we have additional insights there.
Operator: Our next question comes from the line of Greg Gordon with ISI Group.
Greg Gordon - ISI Group Inc., Research Division: My question's for Tony. As you think about the way that the pipeline matter's proceedings work their way to a conclusion, does the fact that you now are looking or your opinion that you're now looking at a litigated outcome versus a settlements narrow the potential for the type of decision that you ultimately get from the CPUC, i.e. are they limited in a -- in their decision-making process to just either fining you or not fining you? Or do they have the flexibility to determine the way in which they deem the penalty should be applied, i.e. through reinvesting in the system and getting lower returns or things like that? Or is there just a fundamental -- is there a fundamental difference between the flexibility that can be put to bear in a settlement versus the flexibility that can be put to bear in a final decision?
Anthony F. Earley: Greg, we think with respect to penalties versus disallowances, which would be in the form of requiring us to do work that we wouldn't get recovery of, we think they've got the same kind of flexibility that we have in a settlement. Probably the only difference is those other parties, who in a settlement might be able to get some concessions, are not going to be able to get anything in a litigated decision because the litigated decision will just impact us. But in terms of the big-ticket items of whether it's a fine or whether it's in a form of some sort of disallowance, I think the commission ultimately has all the flexibility that they need.
Operator: Our next question comes from the line of Anthony Crowdell with Jefferies.
Anthony C. Crowdell - Jefferies & Company, Inc., Research Division: I guess, I'm referring to Slide 3. Quick question is, I guess, when I get to the gas investigations, we get fine and remedy recommendations May 6. I think you guys have a couple of weeks before you file, I guess, your rebuttal testimony. Roughly, a timeframe, I would guess when we get an ALJ, I guess, recommendation, do we get 1 or we get 3 separate ones? And then from there, just a rough window of when does the CPUC come out with an order.
Thomas E. Bottorff: This is Tom Bottorff in Regulatory Affairs. The PUC -- the judges are expected to issue a consolidated decision. The uncertainty is whether they issue 2 separate opinions: one on the violations and one on the fines. They could, for example, issue an interim decision on whether or not we violated any rules or regulations and subsequently, issue a decision on the fines; or alternatively, they could just do it all at once. At either event, all 3 investigations will be consolidated in those opinions.
Anthony C. Crowdell - Jefferies & Company, Inc., Research Division: And is there -- I'm just trying to come up with a rough calendar, from when an ALJ recommendation possibly could come. Are they like a 60-day window or something, and then a CPUC decision?
Thomas E. Bottorff: Yes, it's at least 60 days. So we wouldn't expect to see any decision probably until July or August of this year. Again, it depends on whether they choose to do 2 opinions, in which case, the -- an interim opinion on the violations could come as early as July. If they choose to wait and issue a consolidated opinion on both the violations and the fines, you probably wouldn't see anything until mid- to late-August.
Anthony C. Crowdell - Jefferies & Company, Inc., Research Division: And then from there, from the ALJ, then it subsequently goes to the CPUC, the commission and that's when you get a final order?
Thomas E. Bottorff: Potentially, the difference in an investigation is the administrative law judges could issue what's called a presiding officer decision. And if no one protests the judge's decision, then it becomes final. However, if there are protests, then it would go to the commission for a final order. And that would add probably, at least, 30 days to any final outcome.
Operator: Our next question comes from the line of Michael Lapides with Goldman Sachs.
Michael J. Lapides - Goldman Sachs Group Inc., Research Division: Tony, one question for you, one for Kent. Just a bigger, broader picture, the fact that you've been unable to settle from the San Bruno-related fines and investigation tied to the OII, do you think there's a read across to the broader regulatory environment and the broader regulatory treatment of PG&E, especially given the fact that there's some other key dockets, like the General Rate Case outstanding? That's kind of the first question. And then, a Kent question. General Rate Cases in California have, over the last 3 or 4 years, gone well beyond the normal 12- or 14-month time horizon. I know the commission is trying to kind of rectify that with your case a little bit. But if your case were to extend similar to the same timeframe that the SoCal Ed and San Diego gas cases have done so, what would that mean for balance sheet and capital needs kind of next year?
Anthony F. Earley: Michael, let me start off. We've asked ourselves that question or ask whether there is spillover. We're fairly confident that there won't be. The San Bruno cases are very complex. They have multiple proceedings. We've got civil cases. We've got U.S. attorney and Attorney General involved. And I think the complexity of multiple jurisdictions, multiple cases and also in my view, how interveners are funded in California, all that contributes to the fact that we haven't been able to resolve the cases. All other indications in terms of regulatory relations seem to be moving in a positive trend. We've gotten good feedback from the commission on the work we've done on the system. I think they're pleased with the fact we've been able to deliver 2 years in a row on our commitments to -- just a massive testing and analysis program of our gas system. We got good results in the return on equity proceeding, and we've had a number of other cases where we think we've gotten some good treatment. So I don't think there is going to be that spillover. I think just the complexities of San Bruno contribute to the inability to have an early resolution to it. Kent, you want to comment on rate cases?
Kent M. Harvey: Yes. Michael, in terms of the General Rate Case and the potential for delays, certainly, we've seen that happen with the other utilities of late in the state, but I also think that the commission is aware of the problems that, that creates. And I think there is a lot of interest in trying to get back on schedule. We have to acknowledge the fact that over the last year, between 2 General Rate Cases from the other utilities, the San Bruno proceedings, there has been a lot on the PUC's plate. So we're actually hopeful that we're going to have a more normal experience with the General Rate Case. And we certainly have a schedule that looks very reasonable. And even should there be a few months delay from the schedule, it would still be quite early in 2014, which has been kind of our experience over the last few proceedings. So we're hopeful that's really the future that we're going to face. If, in fact, we ended up under your scenario with a significant delay in the decision, that also makes it very difficult to run the company. And my guess is that it would put pressure on us to hold off on our planned increases that we'd like to make because we've obviously filed for a higher CapEx level than we've been currently spending and obviously higher expenses as well as we want to really improve the safety and the reliability of our system. And a significant delay would probably cause us to have to consider holding off on a lot of that.
Michael J. Lapides - Goldman Sachs Group Inc., Research Division: Got it. And finally, Tony, when -- and just remind us a little bit how you're thinking about when you think you can position PG&E. Whether it's your gas transmission, electric transmission, the distribution businesses, when do you think you'll be in a position to talk about being able to kind of earn a normalized return on equity invested in your rate base?
Anthony F. Earley: Well, our objective is for the parts of the business that are subject to the current GRC, that when we get that decision, we will earn, be able to earn the allowed return there. We've got 1 additional year delay because the gas transmission and storage case is 1-year beyond the GRC. So it's kind of a stepped attainment of that goal to earn our allowed return. But I think when those cases come in, we're committed to working to earn the returns allowed in those cases.
Operator: Our next question comes from the line of Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith: So a little bit different change in tact here. Back on electric transmission, I'd be curious where the status of your own settlement conversations are going, and how you see that shaping up through the course of the year.
Thomas E. Bottorff: Yes, this is Tom Bottorff again. We continue to engage in settlement discussions with the parties. And some of you may have seen a recent note from the judge requesting parties to engage in a conference call on May 28. So we continue to exchange proposals, and those discussions are certainly challenging, given the debate over the rate of return. But nonetheless, a settlement does remain possible. And we really won't know for sure probably until mid-June.
Julien Dumoulin-Smith: And then ultimately, if that isn't resolved, do you think you bring up the issue of ROE methodology here? I mean how did -- is that something that you bring back to the table if that settlement isn't reached?
Thomas E. Bottorff: Well, we already filed an application for rehearing on that issue. We'll wait for FERC to act on that. If we don't receive a favorable opinion there, we do have the opportunity to pursue it in the courts. But again, there's still the opportunity to settle the proceeding, and hopefully that's where we end up.
Anthony F. Earley: This is Tony. I'll also add, the industry is taking that issue up. And as a whole, the industry believes it's inconsistent with FERC encouraging -- be able to build new transmission, that unless the policy goes back to where it was, it is going to inhibit that investment. So it's a broader issue than just our rate case.
Operator: Our next question comes from the line of Travis Miller with MorningStar.
Travis Miller - Morningstar Inc., Research Division: We've -- there's obviously been a lot of talk on the GRC investments, the pipeline investments. I was wondering if we look longer term out beyond 2016, what are some areas where you see investment potential? Is it transmission, distribution, gas, electric? Longer term, what do you think are areas? Or are we just going to get down to a maintenance level?
Anthony F. Earley: Well, I think the answer to all of those things is, yes. We continue to look at our long-term strategy and our commitment to really be top quartile in all facets of operations. We're going to see higher-than-traditional levels of capital investment for the foreseeable future. I mean, we are working on our next 5-year plan internally, and I think we'll continue to see investment in the infrastructure. You'll recall that a lot of our infrastructure,certainly, the electric and gas infrastructure was really built in a post-World War II boom years, '50s, '60s and into the '70s, and a lot of that just -- we need replacement work. We've got a fabulous hydro system of 4,000 megawatts. Some of that was built right after the turn of the last century. We've done a very detailed analysis and are doing investment in those assets because they're great assets. They help us meet our renewable requirements. So for the foreseeable future, certainly, our planning horizon, we see a higher-than-historical levels of capital investment.
Travis Miller - Morningstar Inc., Research Division: When you say that, is that more on those lines of what we're seeing on the 2016 run rate? Or would that be even higher, $4.5 billion to $6 billion range?
Kent M. Harvey: Travis, this is Kent. I think we're going to be determining those years going forward beyond '16, once we complete our -- this year's planning process.
Operator: Our next question comes from the line of Ashar Khan with Visium.
Ashar Khan: Just wanted to check, Tony, how should we look at the, I guess, the fines coming? They'll be done by, of course, different parties, and there will be different numbers. As investors, how should we look at which is the more credible number? How should we judge this information coming next week?
Anthony F. Earley: Well it's hard to say without seeing them, but traditionally, some of the parties are known for taking extreme positions. I think probably the most important recommendation comes from the staff of the commission, but even there in the PSEP proceeding, we're able to get changes in the commission final decision, so none of them are final. There'll be a range, but I would say probably that the staff, the commission will be one that we're certainly going to be looking at very closely.
Ashar Khan: And then, can I ask you, once we get these recommendations, does your -- I know you have not accrued anything beyond what you have, but will that be a data point that, that disclosure could change, and hence, there could be more accruals at that period of time, or no?
Anthony F. Earley: Well it certainly will be a relative data point. We've got to take a look at it. I think we've said in the past, if they all come in and are really extreme, it doesn't help us narrow the gap. And we may not be able to make a change, but if some of them come in, in ranges that are helpful in trying to gather where the ultimate decision will be, we will be taking a hard look at that disclosure and what we've reserved, certainly, once we get those numbers.
Ashar Khan: And then my final question, Kent, can you just -- I apologize, I came in a little late into the call. Can you tell us how much equity has been issued to date out of what was projected for the year?
Kent M. Harvey: Yes. We issued in the first quarter, $430 million, and that's out of our guidance for the year of $1 billion to $1.2 billion. And I'll just remind you that the guidance, that $1 billion to $1.2 billion reflects the $200 million accrual we've taken for a fine or penalty, so anything in excess of that, would affect our expectations for the year.
Ashar Khan: Can I ask you, Kent, I know the range is pretty large. When does that range get narrowed down? I know that what gets a fine is on top of that, but it's a pretty wide range of $1 billion to $1.2 billion. What is the determining factor when we know whether it's $1.5 billion, it's $1 billion or $2 billion? I'm just trying to get a sense.
Kent M. Harvey: I wouldn't expect that we're going to be narrowing that range this year. I actually think that, that amount of range is not that wide, given all the different factors that affect your financing needs because it's not only just on recovered gas costs, it's not only just capital expenditures, but it's all of our cash flows that happened during the year as well. There are a number of factors that can affect your equity need and the timing of your equity needs during a calendar year. So I don't consider the $200 million to be very wide, and I think it will probably stay in that range.
Gabriel B. Togneri: And Ashar, this is Gabe. I may have misheard you but I think I heard you say 1 --
Ashar Khan: No, I said it wrong. I apologize, I said it wrong.
Operator: Our next question comes from the line of Hugh Wynne with Sanford Bernstein.
Hugh Wynne - Sanford C. Bernstein & Co., LLC., Research Division: Just going back, quickly, to your gas progress. You describe on Page 3 the progress you've made in closing the NTSB recommendation. Apparently, there are 5 left to close out. Can you remind us, are any of those material in terms of cost? And if so, could you remind us what they are?
Christopher P. Johns: Yes. This is Chris. I don't have the list of all 5 of them, but what they are, they're the longer-term projects, like the hydrostatic testing and the insertion of the automatic and remote shutoff valves. So those are the longer-term projects, and the costs of all those are already incorporated in what our projections have been over the last couple of years. So all of that has already been taken into consideration.
Hugh Wynne - Sanford C. Bernstein & Co., LLC., Research Division: Yes, these are already in your PSEP 1 and 2.
Christopher P. Johns: Right, exactly.
Operator: Our next question comes from the line of Michael Lapides with Goldman Sachs.
Michael J. Lapides - Goldman Sachs Group Inc., Research Division: Just a follow-up cash flow question. Just curious, I'm trying to think about the cash flow statement for this year and beyond. Outside of items that flow through the income statement and outside of CapEx, dividends, debt issuances, retirement, equity issuances, are there other things, like either significant pension contributions or the environmental remediation costs or maybe generator settlements or other items, working capital, that are significant either sources or uses of cash during 2013 and beyond?
Kent M. Harvey: Well, this is Kent. Michael, I mean obviously, we have amounts of everything. It's a complicated business with lots of cash flows. I would say the generator settlements, I don't see that happening near term and being a big impact on our cash flows. And in the case of pension contributions, for example, we recover those through rates and we basically fund those as their recovered through rates. I don't see, at least, the items that you mentioned as being out of the ordinary for us this year. One thing that does move for us significantly for cash flows is just collateral requirements associated with the commodity purchases and hedging we do on behalf of customers. And that's something that we get in the normal course. And if gas prices go down from current levels, we tend to have to post more collateral. If they go up, we actually reduce the amount of collateral. And that's probably the most obvious fluctuation that we tend to see quarter-over-quarter.
Operator: Our next question comes from the line of Paul Patterson with Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Just really quickly, just back to the San Bruno schedule, you guys said the ALJ decisions you were expecting sort of in July, is that right? Could you just review those very briefly for me.
Thomas E. Bottorff: Yes. This is Tom Bottorff again. What I was commenting on with respect to the decisions is that if there is an interim decision on the violations piece of the proceeding, that, that could come out as early as July. However, if the judges decide to wait to issue a ruling on both level of the violations and the fines and these [ph] associated with them, we may not see that decision until mid- to late-August.
Paul Patterson - Glenrock Associates LLC: Okay. And then just in general, in terms of resolution of the San Bruno schedule and everything, we've noticed that there's been some legislative inquiry and sort of, I guess, questions about the CPUC, in general. Do you see that as having any impact? Just in general, as you guys know, the California scheduling seems to be kind of a moving target, and I'm just sort of wondering if there's any potential here for slippage as a result of some of these issues that have been sort of brought up in the media and what have you. How should we think about that?
Anthony F. Earley: Yes. I don't think it's going to have any impact on the schedule. The schedule will move along. I think, as Tom laid out, that's what we -- our best guess is to what the schedule would look like. I don't think these other things will impact that.
Operator: There are currently no additional questions waiting from the phone lines.
Anthony F. Earley: All right, well in that case, I'll -- I know it's a very busy day with earnings season. But I will mention before we end the call that we'll see a number of you over the course of the month. We'll be at the ISI Conference next week, the Deutsche Conference the week following that and the Bernstein Conference at the end of the month. So there'll be other opportunities to talk to you, and we'll look forward to that at that point in time. Have a great day.
Operator: Thank you, ladies and gentlemen, for attending the PG&E Corporation First Quarter Earnings 2013 Conference Call. This will now conclude the conference. Please enjoy the rest of your day.